Operator: Greetings and welcome to the Schneider National Inc., Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Steve Bindas, Director of IR. Please go ahead.
Steve Bindas: Thank you, operator and good morning, everyone. Joining me on the call today are Mark Rourke, President and Chief Executive Officer; and Steve Bruffett, Executive Vice President and Chief Financial Officer. Earlier today, the company issued an earnings press release, which is available on the Investor Relations section of our website at schneider.com. Our call will include remarks about future expectations, forecasts, plans and prospects for Schneider. These constitute forward-looking statements for the purposes of the Safe Harbor provisions under applicable federal securities laws. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties discussed in our SEC filings, including but not limited to our most recent 10-K and those risks identified in today's earnings release. All forward-looking statements are made as of the date of this call and Schneider disclaims any duty to update such statements except as required by law. In addition, pursuant to Regulation G, a reconciliation of any non-GAAP financial measures referenced during today's call can be found in our earnings release, which includes reconciliations to the most directly comparable GAAP measures. Now I'd like to turn the call over to our CEO, Mark Rourke. Mark?
Mark Rourke: Thank you, Steve, and hello, everyone, and thank you for joining Schneider's second quarter call this morning. And our opening comments will cover our second quarter results, what we're currently seeing in the marketplace, and an update on our full-year guidance. In the second quarter, the market has clearly moved past the chaotic routing guide breakdown and higher tender rejection phase to the more normalized typical seasonality condition that has not existed the last couple of years. In our Truckload and Intermodal network offerings, we are essentially through the annual allocation award process with our shipper base and the results of that process indicate that our customers desire and value incumbency and dependability. In general, we have improved our market share at rates that recognize the unprecedented inflationary impacts of wages, equipment and other operating expenses. In our second quarter results, you will see further evidence of the transformation of our multimodal transportation and logistics portfolio to a higher concentration of revenue and earnings in our asset light segments and the heightened prominence of our dedicated contract configurations in our Truckload segment. In the second quarter 60% of our segment revenues and 53% of our earnings were derived from our two asset light segments Intermodal and Logistics. At a $175 million in enterprise earnings, this quarter was our second most profitable in our history just missing the highest quarter of fourth quarter 2021. The difference was a modest equipment disposals and gains this quarter as we deferred planned disposals due to new equipment delivery delays and new business implementations and dedicated in Power Only. We see a more material equipment gain step up in the second half of the year, as Steve Bruffett will offer commentary on in a few minutes. We also had meaningful growth in dedicated Truckload year-over-year. We have added 1800 tractors in service within dedicated contract solutions, 47% of that growth was organic and 53% was gain through our MLS acquisition. 280 of those units were added sequentially from the first quarter and we have several new account start-ups on the docket for Q3 implementation and a healthy new business pipeline we are navigating through. 60% of our Truckload segment tractors or over 6,000 units now reside in dedicated configurations. That is important because in general, dedicated contracts are longer term in nature, renew at a greater than 90% rate are stickier through freight cycles and our professional drivers prefer the more predictable nature of the work. The diversification in configuration of our portfolio of services has been constructed with the intent of building additional resilience in our results, while bringing great multimodal value to our customer community especially centered around the flexibility and control of container and trailer pools. So let's spend a few moments on Intermodal specifically. The western part of the network is highly challenged on fluidity and reliability and we're working closely with our partners to focus on key areas of improvement so we can move more volume that benefits the rail providers, Schneider and importantly, our customers. We are seeing customers through their allocation events selectively convert Intermodal volumes to over the road. While this strategy has practical limits, it is more pronounced than prior periods. Through non-overlapping lanes, we are now moving 15% of our Western-based volumes on the Union Pacific. The 15% number means customers are already sourcing new business to us on the UP, we are utilizing and sourcing drivers at new ramp facility locations and we are working out the process and technology connections with the Union Pacific. In the second quarter, Intermodal enjoyed its highest revenue quarter in history on 5% order growth year-over-year and 16% revenue per order improvement. We have lots of runway on box turns when container dwell times at customer unloading locations return to its historical performance standards and as rail fluidity returns, particularly on the western part of the network. Additionally, new container delivery timing is ahead of new chassis deliveries by a couple of quarters. We expect to start to see more of our planned new chassis deliveries in time for peak season utilization, which also should serve as a boost to container turns. While we are justifiably focused on rail fluidity and box turns in the West as that's an important component for a high-performance Intermodal offering, I should mention that our Eastern rail partner CSX is performing very reliably and we continue to enjoy year-over-year order volume growth in the eastern part of the network. I will close my opening remarks on our Logistic segments. Logistics had a remarkable quarter at $47 million in earnings and 9% operating margins, which is well ahead of our long-term margin target range of 4% to 6%. Our processes, tools are very adept in adjusting to the live load -- live unload spot market movements and we grew order volumes throughout the quarter. Our investments in Schneider Freight Power and digital capabilities continue to lower our cost to serve, enables faster business volume growth and people growth and this is especially evident in our Power Only offering. Our contract versus spot order volumes in our traditional live load, live unload brokerage toggles between 50% and 60% depending upon market. Contract has moved higher in that range throughout the recent allocation season and Power Only continues to grow in prominence and serves as a high performing and flexible complement to our network offering in Truckload. The differentiating feature of our Power Only is that greater than 90% is contracted volumes. While we're collaborative with our Truckload segment offering, it is not simply an overflow model, but one where we secure through our revenue management processes upfront lane commitments via the customer allocation decisions. As a result, we believe Power Only is resilient as the freight cycles moderate. Now let me turn it over to Steve Bruffett for his additional commentary on the quarter and look ahead to the second half.
Stephen Bruffett: Thank you, Mark. Good morning to everyone on the call and we appreciate you joining us today. Mark mentioned earlier, the strength of earnings in the second quarter and another way to put that in perspective, is to note that adjusted earnings per share were 20% better than our prior best second quarter which was last year. Also, last year's second quarter contained an additional $0.14 of EPS from the combination of equipment and equity gains than did this year's second quarter. So the year-over-year increase in the remainder of our operating results was even more pronounced than it first appears. Revenues excluding fuel surcharge increased nearly $250 million over the second quarter of 2021, driven by 20%-plus increases at each segment, Truckload, Intermodal and Logistics. Adjusted income from operations increased nearly $50 million year-over-year, with contributions from each segment. Logistics was the standout contributor with a $30 million increase in earnings, compared to the second quarter of 2021. During the second quarter, we closed on the acquisition of Wisconsin-based deBoer Transportation. As previously disclosed, the primary purpose of this deal was to gain access to the equipment. We're well down the path of achieving this objective. And most of the equipment is being deployed and dedicated configurations in support of growth opportunities in our existing operations. So the benefits of the acquisition will be feathered into our Truckload segment beginning with the third quarter. And given the limited deal size and the late quarter timing, there was virtually no impact on our second quarter results. Regarding our full-year guidance for adjusted diluted earnings per share, the new range of 260 to 270 refines our prior range of 255 to 270. In essence, we're modestly increasing the midpoint of the range, despite lower expectations for equipment gains. Our prior guidance assumed about $40 million in equipment gains for the second half of the year, while our updated guidance includes roughly $25 million. And to be clear, this updated EPS guidance does not include any second half gains or losses from our equity investments. However, our guidance does incorporate our expectations for moderating a stable operating environment and the return of some seasonality for the remainder of the year. Our guidance for full-year net CapEx is unchanged at $500 million. And given that our first half net CapEx was a $110 million, there's obviously a lot of activity planned for the second half of the year. Our OEM partners have a lot of equipment to deliver and our team has many units to either on board or dispose off. So there could be some spillover into next year, but our collective intentions are to execute against the $500 million plan. And so with that, we'll now open up the call for your questions.
Operator: Thank you. We will now be conducting a question-and-answer. [Operator Instructions] First question comes from Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Good morning. Thank you. A quick follow-up on the Union Pacific comment, the new business that's coming on, how does that compare versus expectations? And where is it coming from? Is that share gain from other IMCs or is that conversion from trucks? Thanks.
Mark Rourke: Yes. Ravi, I would define what's coming on via where we are presently is our non-overlapping lanes that we have with our current provider. So its new origin destination pairs that we haven't had the opportunity to pursue before and so it's all kind of new share for us, because of the unique nature of those OD pairs.
Ravi Shanker: Great. And just a quick follow-up to Stephen. How much did deBoer add to the full-year guide?
Stephen Bruffett: It's around the edges get -- like I said, given the lack of deal size there, it's a -- the equipment we were after a few 100 trailers and a lesser numbers in that of tractors, it's just kind of a complementary thing, but a few cents a share.
Ravi Shanker: Great, thank you.
Operator: [Technical Difficulty] comes from Jon Chappell with Evercore ISI. Please go ahead.
Jon Chappell: Thank you. Good morning. I don't know if Jim is on the call. If he is, this is for him. If not, I guess, Mark, you could take it. On the Intermodal side, obviously you're going through this transition right now. You spoke about some of the rail service issues that we're all acutely aware of, but your revenue still did really well both from a volume perspective and a revenue per load perspective, but the margin deteriorated both quarter-over-quarter and year-over-year. So I'm trying to get a sense as we think about the disconnect there -- was the operating ratio -- was that due to the rail service, was it due to just the arithmetic of fuel, were there some transitional costs that are taking place in the western part of the network if you compare it for next year. And how do we think about that for our cadence going forward?
Mark Rourke: Great. Yes, thank you for the question. There is a little bit of multiple ways to approach that. Certainly, we are executing on our current footprint and entirely focused on doing the best job with our customers as we are planning towards and executing and building capability to our future. So we have a foot in both camps and I'm pleased not only with the execution within the constraints of the fluidity of the network in, what we're also seeing is increased unloading times at our customer locations. And so just with all of that, we -- I'm really pleased with how we're executing our current and preparing and starting, as I mentioned in my opening comments down our new path that will be fully on next year. We also have inflation. Certainly there is some catch-up on rail PT costs and we have also grown our driver fleet -- a couple of hundred drivers as we prepare for the future. And so those are some incremental costs that are in to the business in the quarter from a “start-up” standpoint, if you will. And then just other inflationary pressures that we're seeing, as we're holding onto equipment a little bit longer on the maintenance front and we don't have, just that we mentioned as much gains of sale this quarter than we would typically have in a quarter just based upon the growth in the fleet there.
Jon Chappell: Okay. Should we think about some of those cost challenges remaining and that's incorporated then in the guidance expectations for intermodal OR?
Mark Rourke: I think, we have solid performance and our margins are solid. But we've baked what we expect to both commercially with coming through the allocation season and what we expect our cost position to be for the remainder of the year.
Jon Chappell: Great, thank you so much. Operator Next question. Jack Atkins with Stephens. Please go ahead.
Jack Atkins: Okay, great. Thank you. Good morning, Mark and Steve.
Mark Rourke: Good morning, Jack.
Jack Atkins: Yes, so I guess, Mark, I'd love to get your perspective on sort of the macro and market backdrop. We've kind of heard conflicting comments through earning season from different transportation providers. So could you maybe give us your kind of perspective on what your customers were telling you about the trajectory of their business and how are you thinking about peak season this year around the fourth quarter?
Mark Rourke: Thanks, Jack. Yes, I would say, we have probably less visibility into what peak season will look like this year than we had perhaps the last two years, from a planning standpoint with our customers. I will tell you, we think the volumes are pretty steady. I think there's a lot of discussion around inventory levels. Many of our retailers tell us they still have several 100 basis points of stock out performance worse than what they had pre-pandemic which would suggest that they employ the -- inventory they do have maybe some of the wrong inventory based upon the disruptions that everyone has been dealing with. So I still think there is plenty of and we're seeing in our operational particularly in the retail space on the vendor side and on the DC, the store side some pretty, what we would consider now more normal seasonality. We lacked seasonality last couple of years, because everything was on full throttle, you really couldn't tell the difference. And now, we're just starting to see what we would see more typically whether it's a 4th of July season or back-to-school season and how things ebb and flow between vendor inbound and DC the store and so bit more of a normal condition, Jack, is how I would describe it, but I would still say, very solid demand and maybe a little different this year. We're much farther along on the allocation season coming through the second quarter than is typical and so we have very little left in the Intermodal and Truckload network pie to really understand what the second half looks like. So we think, we're well positioned and that's reflected in our guidance.
Jack Atkins: Okay, great. And maybe just a brief follow-up, you said that 15% of your Western rail volumes are on your new partner, Union Pacific, where do you expect that exit rate to be at the end of the year?
Mark Rourke: Well. We do have some plans, probably not at this point going to disclose those, but we are focused on the non-overlapping lanes, so that we can get our processes down that we can show progress to our driver community, and we can start to not have such a stop-start on the exchange as we get into the first of the year. And so we expect us to build from this number from here and I'm really appreciative of our customers supporting us on that. Because these are new lanes that we have typically not pursued with our customer community and I think, it speaks to their excitement and their support of what we're trying to do, particularly when we combine, what we consider a differentiated experience between what will have in the future on the West and a very high performing Eastern partner with the CSX and so we should expect that to continue but are reluctant to throw a number at you, right now, Jack.
Jack Atkins: Okay, I understand. Thanks again for the time.
Operator: Next question, Bert Subin with Stifel. Please go ahead.
Bert Subin: Hi, good morning and thank you for the time.
Mark Rourke: Good morning.
Bert Subin: Just a question on logistics side, what do you see as the growth trajectory of that business, if we head into a slower freight year? Obviously, it's been sort of in hyper growth mode, but if you start to think about the pieces of it, you would expect sort of volumes continue to benefit from digital brokerage trends and Power Only as you noted earlier, is still growing pretty significantly. Do you think there is a path to that business continuing to grow double-digit sort of in the medium term? And then on the margins, do you think the 4% to 6% could become closer to 6% as Power Only take share there? Thank you.
Mark Rourke: All right. We'll unpack several good questions within that. We do expect our logistics, in particular our brokerage element within Logistics to be one of the fastest growing parts of our portfolio and even in what we would consider a more moderated market they had record volume growth -- had a record volume in the second quarter from an order count standpoint really across our configuration will be live, live, our core, our emerging Power Only. And so we would expect that to continue and some of that certainly is because we have a mechanism that it's not simply an overflow model here at Schneider. So they have great capability both digitally and through a heavy telemarketing sales presence to kind of chart their own path and gain their own volumes across all modes and so -- and we will continue to collaborate which we do with the Power Only and we do think that has significant runway based upon how easy that we can bring -- how easy it is for the shipper and how cpnstantly we bring, the carrier using our trailer pool and you're right. I think over time, we're looking at what is the appropriate margin range on our long-term targets and we would expect that as we go through that annual process, there is likely an update to reflect those mix changes over time.
Bert Subin: Got it. Thank you. Just a really quick follow-up, just regards to your dedicated business, you've obviously added a lot of new contracts. And you said, you have more to come in the second half, is it fair to think that you could be doing sort of flat to positive revenue per truck, per week in most freight environments next year?
Mark Rourke: 2023 is the question?
Bert Subin: Yes. Just thinking sort of, I think on the dedicated side, we think about that being sort of less volatile, you've added a lot of business there and you're still adding business and so those contract should start to sort of extend through '23. So I guess, do you have confidence that, that will be a pretty stable to growing business in most environments?
Mark Rourke: Got your question. Thank you. Yes, absolutely part of the attraction of dedicated it is from a driver condition standpoint more stable and consistent and the work patterns which the drivers prefer, but also from a company standpoint, it's more resilient through whatever freight cycles may or may not occur in the future and our portfolio now being at least 60% by the time we come out of the year bake there -- we think that as much more defensible.
Bert Subin: Great, thank you very much.
Operator: Next question Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Mark or Steve, you did an investor perception study with an outside consultant about a month ago, assuming you've got some feedback from that, can you share anything you learn whether surprising or unsurprising and how might that inform how you manage the business and/or engage with your investors? Thanks.
Stephen Bruffett: HI, this is Steve, I'll tackle that one. It's actually still in process and trying to throw as wide of a net as we can to illicit solid feedback from the entire investment community, whether they're currently invested in our company or not and the various voices that contribute to the overall mosaic of the transportation space. So it's still in flight. We've got a bit of preliminary feedback and it will likely help us shape how we do our messaging going forward and so on. To-date never seen something shocking or profound come out of it, but I think, there are some adjustments that we can perhaps make in our engagement with the investment community as we go forward. We'll -- we look forward to implementing those as we head into next year, but it will probably be another month or two before we sit down and get the formal results from that study.
Bascome Majors: Thank you.
Operator: Next question. Todd Fowler with KeyBanc. Please go ahead.
Todd Fowler: Hi great, thanks and good morning. I was wondering if you could speak to your expectations for the Truckload fleet, both dedicated and for hire, sequentially in the back half of the year. I'm just curious, it sounds like that there is some new business still being on-boarded and dedicated, so what your expectation would be sequentially for the dedicated fleet? And then for-hire continues to drift a little bit lower sequentially. I'm just curious if it starts to stabilize at some point. Thanks.
Mark Rourke: Yes. Thanks for the question. And certainly, as we continue to lean in both organically and acquisitively, potentially on dedicated opportunities. You should expect to see us to continue to add growth to that segment of the portfolio. As we stated, many times we are looking to stabilize and have a very healthy and prominent network business, but one that we certainly want to be responsive to the desires of our driver community and make sure that we put them in the best position to be successful long term and so it has been feeding to a degree our dedicated growth. That said, we did grow sequentially, first quarter, second quarter about 100 drivers in our network fleet, which was a positive sign. And we're continuing to look for opportunities to continue that momentum. But on a growth -- strategic growth driver basis in the Truckload segment, we would still be focusing predominantly on the growth driver being in the dedicated and specialty service area.
Todd Fowler: Yes. Okay that makes sense, Mark. And then, just can you comment just generally about the dedicated pipeline has -- is that still pretty robust or is that changed at all, which is some of the way we've seen the overall market settle down a little bit?
Mark Rourke: No, we haven't seen really any change in the dedicated pipeline, again we're pursuing dedicated that isn't simply trying to capture capacity to cover one way or distress type needs. We're pursuing durable dedicated that adds specific value to what the customer is trying to do strategically. And therefore, the intent would be -- for it to be durable than through whatever freight cycle and that's been really our focus for the last several years on that type of dedicated not a capacity generation type of dedicated.
Todd Fowler: Right. Okay, good. Okay, thanks for the color this morning. Operator Next question, Ariel Rosa with Credit Suisse.
Ariel Rosa: Great. Hey, good morning, gents. Thanks for taking the call. So I wanted to ask about the Intermodal business, as you think about positioning for 2023, and I think about what the competitive landscape is looking like in the West, obviously you have one IMC with BNSF and you have a number of number of IMCs who are going to be on UP as we think about 2023? How do you think about differentiating your offering relative to some of your peer IMCs operating on the UP and kind of how Schneider maybe is positioned to win there? And then on a related note, I'm just wondering, with the labor negotiations underway at the rails, what impact you might see that is having on the Intermodal business?
Mark Rourke: Ariel, well, thank you for the question. And certainly, our approach on this change that we've made in the West, it was centered squarely on how to create the most differentiation in the marketplace and what I would highlight here is our differentiation on the move is that we are bringing a very large asset-centric approach to the Union Pacific and asset-centric being our own box, our own chassis and are predominantly company dray model. And so with that, we are bringing a highly controlled service offering that makes us not only efficient inside the four walls of Schneider, but we're also a great partner with the railroad because of that efficiency which aligns very closely with precision scheduling railroad concepts. Secondly then, we then going to combine uniquely how with that asset-based model between the UP in the west and the CSX in the east and we derive specific efficiencies, because of those more efficient connections than our current setup and so what we're differentiating on is efficiency, what we're differentiating on is the experience the customer gets on this controlled asset model, and we also bringing differentiation on a much different set of unique origin destination pairs, as a result of that. So that's really the strategic intent behind the change and nothing to date would suggest that in our dialog with the market and our customer community that that's the wrong approach.
Ariel Rosa: Got it. Thank you so much. And then any comment on the impact of labor negotiations and how that might impact your cost structure?
Mark Rourke: Well labor is, I think one of the constraints, we are all feeling and I believe the rails are no different there having enough labor capacity to be as efficient as we want. I will offer -- I will defer to them to respond to what they believe the risks are there.
Ariel Rosa: Okay, fair enough. Thanks for the time.
Operator: Next question, Jordan Alliger with Goldman Sachs.
Jordan Alliger: Yes. Hi, I was wondering, could you talk a little bit about in Truckload, thoughts around price negotiations forthcoming and timing of said negotiations and are you getting any sense or pre or early sense that just might be a more challenging discussion point with customers? Thanks.
Mark Rourke: As I mentioned, we are largely through the allocation season with our two largest network businesses truckloaded and -- Truckload Network and Intermodal. The customer community has responded and I think are looking for quite frankly, less chaos and dependability and particularly as we align predominantly with trailer pool and container pool shippers that positions us very favorably. They've also been incredibly supportive of the inflationary impacts around driver wages and equipment and so we feel coming out of that process, we feel pretty good. And we feel pretty aligned strategically with our customer base and we look forward to executing on their behalf and so price, in our view it has been reflective of the inflationary cost and we would expect that to continue.
Jordan Alliger: Okay and then just a follow-up, I guess this is more of Intermodal related, but obviously the rails have had well noted service issues, but I'm just curious in terms of overall congestion, where else are the pinch points would you say aside from rail networks? Thanks.
Mark Rourke: Well, pitch points are -- we have seen and even in our truckload trailer pool, our dwell time at customers now are back to even above peak COVID times and I think that's a condition of still we're not all through the labor constraints or seasonality of vacations and a reoccurrence of COVID that we are experiencing around other countries. So we're -- I think we're still not nearly as fluid, we're not back to any level of historical standards of turning equipment at our customer locations. So that would still be pinch point and then for us. Specifically, while we're very pleased from a supply chain standpoint, we've been able to get our container volume increases into the fleet, we have yet and we are working on the back half of this year to get caught up on our chassis to cover -- our chassis increases to cover those increases and so we've got some built-in inefficiency in the short-term with that, which we expect to remedy in the second half of the year, but outside the well-documented rail places or the -- maybe two other places, I would point you towards.
Jordan Alliger: Thanks so much.
Operator: Next question Tom Wadewitz with UBS.
Tom Wadewitz: Yes, good morning. I wanted to ask you, Mark a bit about what you're seeing in terms of capacity and also how you might think sequentially about the brokerage business? So, it's -- I guess truckload is pretty opaque market, it's kind of hard to know exactly what's happening with capacity. Do you think that there is significant capacity leaving the market, the owner operator, small carriers? Is that happening faster than what you've seen in prior cycles and then with respect to brokerage, the quarter was very, very impressive in terms of brokerage results. I'm just wondering, if you think that that's kind of a peak level from a gross margin and operating income perspective or do you think that's something that you can sustain in 3Q, 4Q, just given that spot rates could fall further? So I guess, kind of two things within that. Thank you.
Mark Rourke: Tom, as we -- we do think there is certainly some tremendous stress in the small and micro carrier market, particularly those who got in at a high cost point to chase the spot market and obviously that's gone through a bit of a -- more than just a bit of a change but a significant change. So yes, we do believe there are subset of stresses we can see it and the volume of calls that come into our brokerage business, which we are trying to use more of a digital channel to deal with that. We study closely the motor carrier authority replications who is not renewing and while that's a bit of a lag, that's -- it's a leading indicator and that is starting to see even though, I think it's a couple of months behind, you can see start increases there and motor carrier authorities not being renewed. I would expect as that progresses and that data be -- is refreshed that will even be more pronounced. So, and as we've gone through this pandemic stage of the market, the micro carrier has been the predominant growth vehicle for the industry and I think that will be the first element of the industry that drops back off based upon inflationary pressures. As it relates to [Multiple Speakers] Certainly the business model that we have in brokerage, the second quarter was highly ideal. And so what we would say as we come here into July that the pricing with shippers have stabilized, carrier cost have more stabilized. So it was a highly advantageous period in the second quarter. We've always felt that our biggest earnings contribution over time with our logistic and brokerage business was market share grow, the topline grow volume, and not be as focused on the margin performance, which is what our 4% to 6% range was based on. So we still philosophically believe that's the case, although with our Power Only component. As we mentioned earlier prior question, we would anticipate reviewing and addressing our long-term expectations of margin within that.
Tom Wadewitz: If I go back to the attrition, do you subscribe to the idea that we'll have faster attrition in capacity, this cycle than maybe we've seen in like 2018, 2019 or prior cycles?
Mark Rourke: I do, I do just because of the cost basis that so many of these carriers came into the market at. Now, we would also say, looking at our leasing business and looking at our brokerage, we haven't seen, we wouldn't step back at our experience at this juncture is massive, exiting yet the macro data that we can look from the government FMCSA appears to be maybe stronger than maybe what we're feeling presently, but I think, we're just on the front end of that, Tom.
Tom Wadewitz: Great, okay. Thanks, Mark.
Mark Rourke: Sure.
Operator: Next question, Chris Wetherbee with Citi.
Eli Winski: Thanks, good morning, guys. This is Eli Winski on for Chris. So maybe we can just -- you can help give us a better understanding of what the potential for cost take out looks like maybe in the second half and more into 2023, if there is more of a downturn in the truckload cycle? And specifically, you also mentioned that we are seeing a return to seasonality, but how much closer are we really getting to that in the back half of the year? Thanks.
Mark Rourke: Yes. I don't know, if I caught all of the question, it was more cost takeout opportunities. I'm sorry, Eli, that was the question what --
Eli Winski: Yes, so if the truckload cycle starts to take more of a dip downwards, what's the opportunity for you guys to take more cost out of the network?
Mark Rourke: Yes, well, maybe I point to where our investments are from a technology standpoint to do that in certainly digitizing and automating our business particularly around the transaction level has been a significant focus and we're seeing it start to bear fruit, particularly in our logistics business, but we're bringing those same digital tools to get to the long tail shipper and carrier in our other segments, whether it'd be bulk trucking Intermodal, so that we can get after the long tail more efficiently and more effectively from a cost of acquisition standpoint of volume. So that will continue to be a significant focus of the organization. And then obviously, if the market cools, which we don't put it in a place that were anti-inflationary at this point, we would expect to start to see some relief in the driver recruiting phase, the maintenance of parts and cost and all the other areas that in my 34-years, I've never seen the level of inflation that we've experienced in the last 24-months. And so our operating cost position in that type of environment would likely improve significantly.
Stephen Bruffett: I also would add to that that I think that there, if there were to be some sort of air pocket that we go through that could create ironically some opportunities for improved efficiency especially in our truck network, as people have a chance to -- our customers maybe have a chance to catch their breath and become more fluid at their locations, because that's been one of our biggest pinch points within our network on the truck side. I think those efficiency opportunities may be a couple of quarters away in our Intermodal network, given that there are more variables that go into that equation, but that efficiency play could be part of the answer as well.
Mark Rourke: Yes, asset productivity, no doubt.
Eli Winski: That make sense. And then just a quick follow-up on Intermodal. I know you guys have more assets coming online and you probably can't give quarter-to-quarter. But anyway, we should be thinking about additional containers coming online here in the back half?
Mark Rourke: Yes, we think, we are focused primarily on growth of assets and Intermodal will be on the chassis front, not so much on the container front. So we're -- we were just a couple of quarters ahead of the chassis that we are of the containers.
Eli Winski: Got it. Thank you.
Mark Rourke: [Multiple Speakers] couple of quarters behind.
Operator: Next question, Brian Ossenbeck with J.P Morgan.
Brian Ossenbeck: Hi, good morning. Thanks for taking the question, guys. Mark, maybe just to come back to the views on the capacity in the market. Maybe one short-term, one more longer term, but AB5 is obviously out there. I don't know it's going to get enforced or not, but you have a different model. I am wondering, what that might impact some of your peers and how that would affect them and if there's any other states here, you're watching is potentially following? And then also this morning, we saw the big settlement out in Texas, but I don't know if that was well-telegraphed or expected, but what are some of the implications from that as you look forward, does that really change the pace of insurance cost premiums that you're experiencing right now across the industry?
Mark Rourke: Great. Thank you, Brian. The AB5 condition is a very -- in our view, a very big deal. We found it highly disruptive, when we made those changes a few years ago anticipating this very outcome. I think there are 70,000 or so owner operators presently in the State of California. And as you mentioned there are few following states that we've also had to make adjustments in and really, what we found through that process, Brian, is that what surprised me is the number of folks who are willing to move out of the State of California for us to do that, so that's one component, you kind of change the geographic mix of your fleet. And we were -- had a number of people through that process be the last straw to get out of the industry. And so in our view, if our experience is reflective, it will start to see an attrition of capacity in those markets that go to that type of kind of rule making if you will. So it will be disruptive and people haven't prepared for it, that's all in front of them and as you mentioned, I think there are lot of people that were in the wait and see mode, us and maybe a few other larger carriers that already made those adjustments, so that won't have any material impact for us, anything it will be a positive impact because we will be able -- we've already made those adjustments and are prepared to serve those who may fall off as a result. So it's a big deal. And as you mentioned, it's not just California, it's several potentially other states as well. And as we've always said, if folks wanted to be an employee, there's lots of places for them to achieve that and we really are messing with very successful and have purposeful folks who wanted to be their own -- own their own business.
Brian Ossenbeck: And on the insurance side with the settlement out this morning with more in Texas, is that, kind of, what you expected?
Stephen Bruffett: I will jump into that. I suppose here it's kind of difficult to know how that will ripple through. It's certainly not the first shock claim that has occurred in the space or across the country in various industries and so we'll have to see how it plays out. There are -- it's predominantly a large fleet phenomenon that we're talking about here with excess towers and I think, over the course of time, companies are making adjustments to the size and structure within those towers and re-evaluating their self retained risk and so on and how that all translates into ultimate insurance cost, we will have to see, but it's --
Mark Rourke: It's not going to help.
Brian Ossenbeck: All right. If I can ask one quick clarification just on the box turns because that's a big focal point, it sounds like perhaps there is more containers that are in the system, but not effective are those actually getting counted, the numbers that we see or are those not fully utilized, because they're missing the chassis, so it sounds like there is opportunities to improve. But I just don't know if you could quantify or perhaps put some context around just what that would be if you were kind of fully matched at this point in time? Thanks.
Mark Rourke: Yes. Those are fully in our numbers and we would consider this the trough of what we would expect based upon fluidity and getting them all in -- when we bring all those obviously, you're not in for the full quarter and so you have some inefficiency do you get it -- to get in placed, but we do still count all those in our numbers.
Brian Ossenbeck: Okay, thanks for the time. I appreciate it.
Operator: Next question, Elliot Alper with Cowen. Please go ahead.
Elliot Alper: Great, thank you. So last quarter, you talked about contract renewals being highly supportive of the inflationary environment. The outlook this quarter discusses some trade moderation. I guess, anything you could share on how the market has evolved over the past three months? And maybe within that you have pretty diverse end market footprint, can you speak to some of the pockets of weakness and any strengths within that portfolio?
Mark Rourke: As it relates to pricing, pricing is still even though we've been through a price escalation process both within the allocation events in prior periods and also out of periods, as we've gone through the second quarter pricing is still on a contractual basis going up to cover any additional inflation that's in the business. And so very supportive from a customer standpoint. And again, we're committed to being a great partner for them on what they need to accomplish through that transaction as well. So very supportive condition, the market continues. And our focus has been on reshaping our portfolio to the degree, where we can build resiliency in not only the customer contracting phase, which is what you see and the dedicated growth but also be very mindful of the segments that we want to make sure that we're leaning into aggressively commercially, whether that be ex value retail, do-it-yourself retail, food and beverage, things that are more durable depending upon where you might be in an economic cycle. And so we think obviously being paid fairly for the value that you provide is critical but also aligning yourself with the parts of the economy and the shipper community that's most durable through cycles has been a focus and continues to be a focus of the commercial efforts of the company.
Elliot Alper: Thank you.
Operator: Next question, Ken Hoexter with Bank of America.
Ken Hoexter: Hi, great. Good morning. So I just want to -- I guess, continue on that thought process, just want to play in your commentary on the market with what you saw truckload, so dedicated is 60%. But I guess, I would have expected the truck market, given where rates are or rates could have been tapped maybe bigger margin upside, it look like you decelerated 6% revenue per truck, per week. Are you seeing the spot rates decline faster than you thought maybe, is it more about the cost side of the equation, you mentioned before on driver pay and how the market is changing maybe talk a little bit about that?
Mark Rourke: Yes, I'm not sure, I'm tracking with the question on the acceleration, maybe want to clarify that for me, Ken?
Ken Hoexter: Yes, I just want to understand right, because your -- you talked about the commentary that the backdrop of a decelerating economy. But I guess even still, I would have expected from what we saw with other carriers maybe still a bigger benefit on margin from the way rates were in the quarter. So did you see the -- was it because of a bigger, faster decline in spot rates that we hear a lot about? Was it because cost were up faster, just want to understand why the margins on truck could have been stronger relative to what we've seen in others?
Mark Rourke: Yes, I think, we were probably an outlier as it relates to the lack of gains, as we've held onto our equipment for growth opportunities in Power Only and our dedicated portfolio. So we have sold very few units, particularly in the second quarter, which we'd expect to step up here as we mentioned in our comments in the third and fourth. And so I think that is probably the predominant difference particularly year over year as it relates to what would have been a tailwind a year ago and we just didn't get the experience of that this quarter and that was purposeful based upon other ability to put growth in. But certainly, a spot market is as moderated. We don't play on our asset businesses all that much in the spot market. We are toggle between upper single digits to low double-digits in that space. So it has less influence on us there, obviously that plays more specifically for us in our logistics business, and I think, all that considered and what we're doing, I think the margins were pretty solid.
Ken Hoexter: Okay. And then just a follow-up, you mentioned on the Intermodal fleet right, group, the fleet 28%, loads up 5%, you mentioned about the chassis and the like kind of delaying the progress. Is there a difference so far on what you're seeing early on in Union Pacific in terms of the asset turn versus your prior question partner?
Mark Rourke: We are really pleased with the Union Pacific, particularly on the fluidity inside their ramps. And so we would say, we have not seen any drop-off and we got some technology connections that we're still working on to make that even more efficient for our driver community. So not knowing -- not doing as much with the UP, up to this point, we're actually very pleased with the early returns there.
Ken Hoexter: Great. Thanks, Mark. Thanks, Steve, have a great one.
Operator: Next question, Scott Group with Wolfe Research.
Scott Group: Hi, thanks, good morning, guys.
Mark Rourke: Good morning, Scott.
Scott Group: Steve, just some clarity on the guidance, it implies sort of earnings flat, maybe down slightly from 2Q the rest of the year. Any directional color on the segments in terms of what you think is better from here, what potentially worse from here? And then just separately, Hans on their call couple of weeks ago, said as they look ahead to '23 bid season, they think Intermodal price maybe will hold up something better than Truckload pricing? I'm wondering, if you would agree with that or not?
Stephen Bruffett: Sure. The second half, I think, we don't want to just beat gains to the asset, but compared to the prior year, we do anticipate having lesser gains in the second half of this year than we had in the second half of last year. Albeit the second half of this year stepped up from the first half of this year, but gains not being as prominent a factor in our earnings number this year is part of that flattish dynamic that you referenced there. And I think the biggest question mark in our range if you will for toward the upper -- the lower-end ultimately, really gets down to the fourth quarter, what types of project and premium opportunities present themselves compared to the prior year, which they -- those opportunities were ample. And so I think that is the one thing that we will have to see how it plays out. And we talked a bit about the logistics margin of 9% in the second quarter and could there be some modest moderation within those margins in the second half of the year? That's possible, so I think, those combination of things are the ones that that come to mind, in response to your question.
Mark Rourke: And Scott, maybe just commentary as opposed to maybe 2023 comments, but certainly as we got to the second quarter, renewals are -- our Intermodal pricing improvement really led the way across the enterprise, so consistent whether that holds all the way through 2023, we think there is room for that, but we're not making comment there just yet.
Scott Group: Thank you, guys.
Operator: Next question, Felix Boeschen with Raymond James.
Felix Boeschen: Hi. Good morning, everybody.
Mark Rourke: Good morning.
Felix Boeschen: Hey, I just have one and it's on Power Only, but it's been obviously a real source of strength in logistics. You mentioned the high contractual nature of that book, but then -- and I think, I heard you say that trailer turns are slower on the shipper side. But I guess my question is, how are you thinking about overall trailer utilization at Schneider today and how big of an trailer fleet size, you need to kind of sustain current Power Only growth rates?
Mark Rourke: Yes, I think one of the -- thanks for the question. Certainly, we anticipate over time being more of a trailing equipment-centric organization as a result of using our technology and our network management capabilities around assets, in this case trailers to aggregate freight on behalf of our customers, whether it'd be our assets, whether it'd be owner-operators or whether it would be third parties. And to do that will be more trailer-centric, which is one of the reasons and the success we've had there is why we haven't sold and we've held onto our trailing equipment as a result of that, probably a little more advanced than we would have anticipated at this juncture. And so as you think about what we'll be bringing forth in our capital allocation decisions in the forthcoming years, it will be more trailer-centric than would be typical because of this phenomenon. So my comment around the delays is just, we're just seeing more dwell time at constantly on load locations, which once that obviously returns to more historical standards and that frees up capacity for us to grow the business without adding as many trailers.
Felix Boeschen: Thanks a lot. Appreciate it.
Operator: I will now turn the floor over to Mark for closing remarks.
Mark Rourke: Thank you, everyone. I want to thank everyone for participating today. And just a few final thoughts, we are continuing to execute on our strategy of growing and scaling this highly diversified multi-modal transportation and logistics platform and we want to offer great value to a wide array of shippers' freight needs and increasingly, we see ourselves aggregating freight and capacity around the flexibility and control of what we've been talking about here this morning on our container and trailer assets for both Schneider and third parties. And as a result, we see our revenue and earnings growth increasingly less asset and people intensive. While the market chaos over the last two years is moderating, our portfolio is well positioned as evidenced through the most recently completed allocation season as well as the more defensive nature of our Truckload mix towards dedicated. Despite the current challenges in Intermodal, we do expect to move beyond these inefficiencies and remain very bullish long term on the growth prospects of Intermodal, in the value it provides to our shipper community both economically and environmentally. As I mentioned earlier, I'm highly pleased and encouraged by the customer recognition of our competitive differentiation with our new western rail partner that goes into full effect next year in combination with our already high performing CSX offering. And our Intermodal team has been tireless and engaging with our customers on the merit of the change and also planning the conversion with the Union Pacific and we would expect to be flawless during that transition. Finally, the challenge of the last couple of years have greatly advanced the capability and value the market has derived from our logistics offering and we're not taking our foot off the pedal of our technology investments to connect our various trade partners and provide resources to grow not only our brokerage capability, but this very valuable and value creating Power Only offering that we think adds value irrespective of market cycles. And so that is what you can expect from us and again, thank you for participating today.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.